Presentation:
Operator: Good morning, everyone. Thank you for holding, and welcome to the America's Car-Mart Third Quarter 2019 Conference Call. The topic of this call will be the earnings and operating results for the Company's third quarter for fiscal 2019. Before we begin, I would like to remind everyone that this call is being recorded, and will be available for replay for the next 30 days. The dial-in number and access information are included in last night's press release, which can be found on America's Car-Mart's Web site at www.car-mart.com. As you all know, some of management's comments today may include forward-looking statements which inherently involve risks and uncertainties that could cause actual results to differ materially from management's present view. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The Company cannot guarantee the accuracy of any forecast or estimate nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Part 1 of the Company's annual report on Form 10-K for the fiscal year ended April 30, 2018, and its current and quarterly reports furnished to, or filed with, the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating on the call this morning are Jeff Williams, the Company's President and Chief Executive Officer; and Vickie Judy, Chief Financial Officer. And now, I'd like to turn the call over to the Company's Chief Executive Officer, Jeff Williams.
Jeff Williams: Okay. Thank you for joining us and thank you for your interest in America's Car-Mart. We had a good quarter with solid improvement in the key areas of our business. We're happy to see our hard work and our focus on operational non-negotiables translate into solid bottom line results. Sales volume productivity was up, net charge-offs was down, and collections improved, and we finished the quarter with a much lower 30-plus pass-through percentage. Even though the results are good, we know that we have a lot of room to continue to improve, and we're working hard to get better and serve our customers through our associates at the very highest levels. We are restless about continuous improvement. We believe we have an obligation to push for healthy growth as we believe communities are better when Car-Mart is there. I'm going to go ahead and turn it over to Vickie to go over some numbers. Vicki?
Vickie Judy: Good morning. For the quarter, overall revenues were $161 million, with same-store revenues up 8.5%. This resulted from a 9% increase in sales and an 11.6% increase in interest income. Revenues from stores in the over 10 years of age category was up 8%. Stores in the five to 10-year category was up 8%, to about $36 million. Revenues for stores in the less than five years of age category was up about 30% to about $20 million. We've continued to see increased traffic at our dealership, and we believe our focus on quality inventory has helped drive this. Our average selling price increased to $11,146, a 4.5% increase or $484 compared to the prior year quarter. We also saw an increase of $116 sequentially. This increase results primarily from the increase in overall vehicle purchase costs because of the high demand for vehicles in the used car market, which in turn results in higher selling prices. We do expect purchase cost to continue to remain elevated through tax time and off-work quarter. However, we will continue to stay focused on keeping the transaction affordable for our customer, and to provide the best vehicle for the money. At quarter-end 23, or 16%, of our dealerships were from zero to five years old, 36 or 25% were from five to 10 years old, and the remaining 84 were 10 years old or older. Our overall productivity increased to 27.9 units per lot, from 27.2 compared to the prior year third quarter, a 2.6% increase. Our 10-year lots -- 10-year-plus lots produced 30.3 units sold per month per lot, compared to 29.1 for the prior year quarter. Our lots in the five to 10-year category produced 25.6 compared to 24.7 for the prior year quarter, and the lots less than five years of age had productivity of 22.7 compared to 21.6 for the third quarter of last year. Our down payment percentage was flat compared to the prior year quarter, however collections as a percentage of average finance receivables was up 70 basis points to 13.2%, compared to 12.5% last year. The average originating contract term was 29.4 months, compared to 29.5 for the prior year quarter, and up from 29.2 months sequentially. Our weighted average contract term for the entire portfolio, including modification, was 32 months for the third quarter, compared to 32.4 for the prior year quarter. The weighted average age of the portfolio was basically flat at approximately nine months. We believe our investments in collections staffing, better visibility, and consistency in our collections efforts have contributed to these improvements. Interest income was up $2.2 million compared to the prior year quarter due to the $45.5 million increase average finance receivables, almost 90% of the increase, and also due to our increase in the interest rage on our contracts to 16.5% from 15%, which began in May of '16. The weighted average interest rate for all finance receivables at the end of the quarter was approximately 16.4%, up from 16.2% at January of '18. Our gross profit margin remained flat, at 41.5% of sales for the third quarter, and down from 41.7% sequentially. We continue to stay focused on managing inventory and repair costs while battling the gross margin pressure as a result of the higher average selling price as our gross margin percentages are lower at a higher selling price. We are pleased to see the productivity improvements from some of our investments that we made with some leveraging of the SG&A. SG&A dollars were up $1.6 million at 18.9% as a percentage of sales, compared to 19.4% for the prior year quarter. We have added over 4,800 customers since this time last year, and we're serving more customers per full-time associate as we work to stay efficient with our operations. We will continue to invest in our associates and our infrastructure to improve the customer experience. One of our ongoing initiatives is to improve our Web site and our overall online customer experience. For the current quarter, net charge-offs as a percentage of average finance receivables was 6.2%, down from 7.4% in the prior year third quarter. We've continued to improve both the frequency and severity of losses compared to the prior year as we work to improve our deal structures and drive customer success. Improved collections were 70 basis points better, and higher recovery rates contributed to the decreased severity of losses. Recovery rates for the quarter were approximately 27%, compared to 25% to 26% last quarter, and 22% in the prior year quarter. Our effective income tax rate was 23.7% for the third quarter of fiscal year '19. And the prior year tax benefit resulted from a $9.7 million adjustment recorded primarily due to the enactment of the Tax Cuts and Jobs Act, in December of '17. We expect our base effective tax rate to be approximately 24% going forward prior to any excess tax benefits from stock option exercises. At quarter-end, our total debt was $171 million, and we had over $44 million in additional availability under our revolving credit facility. We did amend our revolving credit facility in December of '18 to extend the term to December of '21. We increased the total committed borrowings from $200 million to $215 million, and reduced the current applicable interest rate by 10 basis points until May of '19. Our current debt-to-equity ratio is 69.5%, and our debt-to-finance-receivables ratio is 31.4%. Our interest expense increased $628,000 this quarter compared to last year's quarter due to the increase in debt, about 60% of the increase, and also due to the increased interest rate. During the quarter, we repurchased 141,500 shares, or 2.1% of our company, for $10.2 million at an average cost of $72.20 per share. Since 2010, we have repurchased approximately 53% of the company for $222 million at an average price of $36 per share. We continue to have strong cash flows. For the nine months, we've added $41.5 million in receivables, repurchased $24.1 million of common stock, funded $3 million in capital expenditures, and increased inventory by $5.2 million, a total of $73.8 million with only $18.4 million increase in debt. Our focus will be to continue to invest in our associates, grow the business, and take advantage of market opportunities while continuing to purchase shares opportunistically. I'll turn it back to you now, Jeff.
Jeff Williams: Okay, thank you, Vickie. Our non-negotiables relate to, number one, facilities and associates. Number two, inventory, number three, collections practices, and number four, expense management. With our fifth non-negotiable, customer relations and customer experience being a part of but separate from the other four. Our improved financial performance to this point has been mostly the result of our disciplined focus on lot-level blocking and tackling the non-negotiables one through four, where we still have a lot of work to do but are making solid progress. We understand that to be a great company our purpose has to be clear. And in this high-touch business the customer experience through our associates must be great always. The service we provide is so very important to the good hardworking customers we serve, and we can have such an effect on the quality of their lives, we have a duty to be over-the-top good with all customer interactions. Again, we believe we have room to improve on the first four non-negotiables. However, customer experience is emerging as our top priority as we strive to be a great company. As mentioned in the press release, we have four new dealership openings in process, and we're excited to get started in these communities. Our plan is to grow at a healthy rate, in line with our ability to support our associates and customers at the very highest levels. We will continue to invest in our people, especially our general managers, and we're pleased to see our investments being leveraged so quickly. The market we serve is large, and we have a great opportunity to serve more communities in the future. As always, we would like to thank our associates for their hard work and dedication to this effort, and thank you again for your interest in Car-Mart. We will now open it up for some questions. Operator?
Operator: At this time, the participants will now answer questions from the callers. I would like to reiterate that my regular comments regarding forward-looking statements apply both to the participants' prepared remarks and to anything that may come up during Q&A. [Operator Instructions] And our first question comes from John Murphy with Bank of America Merrill Lynch. Your line is open.
Aileen Smith:
Jeff Williams:
Vickie Judy:
Aileen Smith:
Jeff Williams:
Aileen Smith:
Jeff Williams:
Aileen Smith:
Jeff Williams:
Operator:
.:
John Rowan:
Vickie Judy:
Jeff Williams:
John Rowan:
Vickie Judy:
Jeff Williams:
John Rowan:
Jeff Williams:
John Rowan:
Jeff Williams:
Operator: Thank you. Our next question comes from Vincent Caintic with Stephens. Your line is open.
Vincent Caintic:
Vickie Judy:
Vincent Caintic:
Jeff Williams:
Vincent Caintic:
Vickie Judy:
Vincent Caintic:
Jeff Williams:
Vincent Caintic:
Jeff Williams:
Vickie Judy:
Jeff Williams:
Vickie Judy:
Vincent Caintic:
Operator: Thank you. Our next question comes from Kyle Joseph with Jefferies. Your line is open.
Kyle Joseph:
Vickie Judy:
Kyle Joseph:
Vickie Judy:
Kyle Joseph:
Jeff Williams:
Kyle Joseph:
Jeff Williams:
Operator: Thank you. [Operator Instructions] And I am showing no further questions at this time. I would like to turn the call back over to Mr. Jeff Williams for any closing remarks.
Jeff Williams: Okay. Well, once again thank you for joining us this morning. Thanks for your interest in America's Car-Mart. And have a great day. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a great day.